Operator: Thank you for standing by, and welcome to the Healthcare Services Group, Inc. Second Quarter 2025 Earnings Conference Call. The matters discussed on today's conference call include forward-looking statements about the business prospects of Healthcare Services Group, Inc. For Healthcare Services Group, Inc.'s most recent forward-looking statement notice, please refer to the press release issued this morning, which can be found on our website, www.hcsg.com. Actual results may differ materially from those expressed or implied as a result of various risks, uncertainties and important factors, including those discussed in the risk factors, MD&A and other sections of the annual report on Form 10-K of Healthcare Services Group, Inc.'s other SEC filings and as indicated in our most recent forward-looking statements notice. Additionally, management will be discussing certain non-GAAP financial measures. A reconciliation of these items to U.S. GAAP can be found in this morning's press release. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] I'd now like to turn the call over to Ted Wahl, President and CEO. You may begin.
Theodore Wahl: Good morning, everyone, and welcome to HCSG's Second Quarter 2025 Earnings Call. With me today are Matt McKee, our Chief Communications Officer; and Vikas Singh, our Chief Financial Officer. Earlier this morning, we released our second quarter results and plan on filing our 10-Q by the end of the week. Today, in my opening remarks, I'll discuss our Q2 highlights, share our perspective on the overall business environment, discuss our strategic priorities and provide details on our $50 million share repurchase plan. Matt will then provide a more detailed discussion on our Q2 results. And then Vikas will provide an update on our balance sheet and capital allocation progression. We will then open up the call for Q&A. But first, I'd like to comment on the previously announced Genesis HealthCare restructuring. Genesis filed for Chapter 11 bankruptcy on July 9. Following the petition date, we have continued our contractual relationship with the Genesis facilities without disruption in services or payments. And while we're disappointed in the impact that this event had on our second quarter results, we believe its root causes are specific to Genesis and its past circumstances and decisions and is not a reflection on the current state of the industry. There's been a great deal of external attention paid to Genesis through the years and rightfully so. They are an important customer of ours, and we've had a long-standing partnership. That said, we believe this event will result in stronger, healthier client facilities, provide balance sheet clarity for our stakeholders and remove an overhang that has weighed on our stock for years. And now I'd like to move on to discuss results that are more indicative of our underlying business fundamentals and the exciting opportunities that lie ahead. Second quarter growth exceeded our expectations. Q2 was our fifth consecutive sequential revenue increase and our highest rate of growth since Q1 2018. New client wins and high retention drove our organic growth, and we have carried that positive momentum into the back half of the year. Despite the Genesis news and the resulting impact on our Q2 reported results, our 2025 growth plans and cash flow outlook remain strong. We are reiterating our 2025 mid-single-digit growth expectations and raising our 2025 cash flow from operations forecast, excluding the change in payroll accrual, from $60 million to $75 million to $70 million to $85 million. I'd now like to share our perspective on the overall business environment. Industry fundamentals continue to gain strength, highlighted by the multi-decade demographic tailwind that is now beginning to work its way into the long-term and post-acute care system. The most recent industry operating trends remain positive as well, highlighted by steady occupancy, increasing workforce availability and a stable reimbursement environment. The One Big Beautiful Bill Act has generated intense political debate and speculation as interest groups on all sides seek to control the narrative. We view this as a predictable response to such significant legislation and anticipate the level of commentary will remain elevated through the midterms. On balance and specifically as it relates to the industry, we hold a constructive view of the [ ABA ]. Beneficial provisions include the 10-year moratorium on the minimum staffing mandate in addition to the already successful legal actions, the industry exemption from provider tax reductions and the $50 billion investment in rural markets. In the near term, these measures promote even further strength and stability in the industry and in our view, more than offset any potential longer-term questions about other Medicaid provisions, which may or may not be phased in at some point in the future over several years and even if phased in, are unlikely to directly or meaningfully impact long-term and post-acute care facilities. Looking ahead, we are optimistic that the administration and Congress will continue to prioritize the changing and expanding needs of our nation's most vulnerable and the providers who care for them each and every day. As we enter Q3 and the rest of the year, our top 3 strategic priorities remain: Driving growth by developing management candidates, converting sales pipeline opportunities and retaining our existing facility business; managing cost through field-based operational execution and prudent spend management at the enterprise level; and optimizing cash flow with increased customer payment frequency, enhanced contract terms and disciplined working capital management. We are confident that continuing to execute on our strategic priorities, supported by our strong business fundamentals, will position us to accelerate growth, enhance profitability and maximize cash flow through the second half of 2025 and beyond. Finally, in conjunction with our earnings release, we announced plans to further accelerate the pace of our share buybacks. And over the next 12 months, intend to repurchase $50 million of common stock under our February 2023 share repurchase authorization. Over the course of the last several years, we have continuously strengthened our balance sheet and expect strong cash flow generation over the next 12 months and beyond. We have demonstrated a prudent and balanced approach to capital allocation, including, first and foremost, investing in our growth initiatives. The current valuation of our stock relative to our long-term growth potential offers a unique opportunity with the buyback to return significant capital to shareholders. So with those introductory comments, I'll turn the call over to Matt for a more detailed discussion on the quarter.
Matthew J. McKee: Thanks, Ted. And good morning, everyone. Revenue was reported at $458.5 million, an increase of 7.6% over the prior year. Segment revenues for Environmental and Dietary Services were reported at $205.8 million and $252.7 million, respectively. We estimate Q3 revenue in the range of $455 million to $465 million and reiterate our 2025 mid-single-digit growth expectations. Cost of services was reported at $455.5 million or 99.4% and includes the impact of the $61.2 million or 13.4% noncash charge related to the previously announced Genesis restructuring. Our goal is to manage the second half of 2025 cost of services in the 86% range. Reported SG&A was $49.2 million. But after adjusting for the $4.7 million decrease in deferred compensation, actual SG&A was $44.5 million or 9.7%. The company expects to manage SG&A in the 9.5% to 10.5% range in the near term, based on investments that we've made and spoken about in previous quarters, with the longer-term goal of managing those costs into the 8.5% to 9.5% range. Segment margins for Environmental Services were reported at 0.8% and include the impact of a $20.3 million or 9.9% noncash charge related to the previously announced Genesis restructuring. Segment margins for Dietary Services were reported at negative 10.1% and include the impact of a $40.9 million or 16.2% noncash charge related to the previously announced Genesis restructuring. Net loss and diluted loss per share were reported at $32.4 million and $0.44 per share. This includes the impact of a $0.65 noncash charge or $61.2 million pretax, tax effected at 22.7% related to the previously announced Genesis restructuring. As previously announced, we estimate a third quarter $0.04 per share noncash charge related to the Genesis restructuring. Cash flow from operations was reported at $28.8 million. After adjusting for the $20.3 million increase in the payroll accrual, cash flow from operations was $8.5 million. We're raising our 2025 cash flow from operations forecast, excluding the change in payroll accrual, from $60 million to $75 million to $70 million to $85 million. I'd now like to turn the call over to Vikas for a discussion on our liquidity, balance sheet and capital allocation progression.
Vikas Singh: Thank you, Matt. And good morning, everyone. Our balance sheet strength and liquidity position have been driven by sustained collection trends and results in the current quarter as well as the last few quarters. We ended the second quarter with cash and marketable securities of $164.1 million. This includes $7.9 million of ERC receipts in the second quarter. At the present time, there is no income statement impact from ERC as these credits are being recorded on our balance sheet only. Our credit facility was undrawn at quarter end, with utilization limited to LCs only. On the capital allocation front, our priorities are to direct investments towards organic growth, acquisitions and opportunistic share repurchases. Overall, our balance sheet and liquidity are well positioned to facilitate and support our growth journey through organic and inorganic initiatives. As for activity during the second quarter, we repurchased $7.6 million of our common stock this quarter. This takes our year-to- date buybacks to $14.6 million. And while there were no completed acquisitions in the quarter, we continue to actively evaluate opportunities. Finally, as Ted highlighted in his remarks, in conjunction with our earnings release, we announced plans to further accelerate the pace of our share buybacks. And over the next 12 months, we intend to repurchase 50 million of our common stock under our February 2023 share repurchase authorization. We expect these repurchases to be made on the open market, which may include a 10b5-1 plan as well as through privately negotiated transactions. With that, we will conclude our opening remarks and open up the call for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of A.J. Rice from UBS.
Albert J. William Rice: Maybe just a few quick ones here. Just to make sure I understand on the Genesis situation between the big charge you took this quarter and the little follow-on you're pointing to for the third quarter, will you have effectively written off all of your exposure to Genesis at that point? And I assume your positioning is pretty strong within the capital structure there. Do you have any sense about recoveries or where the process is and how quick there might be resolution on the outstanding receivables?
Theodore Wahl: And yes to your first question that after the third quarter, which will include some of the prepetition amounts that fell into that quarter, it will effectively be reserved in its entirety. I think specifically to the -- as far as the process is concerned and potential recoveries, it's still very early. So we do not have much to report on in terms of developments other than the standard affidavits and motions one would typically see at this stage of the process. What I would add is that we are expert in navigating the process, and our partnership within the four walls of the client communities we service with Genesis are as strong as they've ever been. As you know, Chapter 11 recoveries tend to vary case by case, and we're obviously going to leverage that strong role that you referenced and prioritize recovery. But again, it's still too early in the process to speculate on what that may be.
Albert J. William Rice: Okay. And then I just wanted to think about where you're at with respect to growth. You've got, on the one hand, retention and attrition that you have to deal with every year, albeit modest, hopefully. Are you back to sort of a normalized rate there? Can you just comment on that and comment on how much new business adds you've had and maybe sort of how that stays as you look at the back half of the year?
Theodore Wahl: Sure. And I know I referred to this in my opening remarks, but when you think about Q2, it was our fifth consecutive sequential revenue increase and our highest rate of growth we've had since the first quarter of 2018. And that's really driven, as you alluded to, the successful execution on our organic growth strategy, developing management candidates, converting the sales pipeline opportunities and as you highlighted, retaining the existing business. The majority of the Q1 to Q2 sequential top line increase was really driven by new business wins that this quarter, this past quarter were more heavily weighted towards the front end of Q2, along with 90%-plus customer retention rates that we feel very positive about being able to maintain those trends going forward. And just for the benefit of everyone that's on this call, 90% client retention has been foundational to the company since its inception. There was some choppiness over the past few years in the post-COVID kind of [ restructuring ] and resetting of the industry and very high -- very unusual amount of ownership changes coming into place, some of whom we weren't comfortable partnering with. So we had a disproportionately high number of exits relative to what we've seen historically. But when we look out certainly for the back half of the year and even beyond that, A.J., over the next 3 to 5 years, we absolutely expect 90-plus percent retention rates to be what the company experiences and what one could expect out of us going forward. Specifically, I guess, from a top line perspective, with the back half of the year, $455 million to $465 million is what we're expecting. And then we would expect the second half of the year revenues to grow sequentially compared to the first half of the year revenues.
Albert J. William Rice: Okay. Maybe just lastly on the -- any update on food inflation? I know there's a lot of noise out there about tariffs and everything else. What are you seeing? And I assume you're getting that all passed through with your contract structure. But any update on that?
Matthew J. McKee: Yes, that's correct, A.J. I'm glad you pointed that out because even in a volatile scenario or a volatile market, we do have the rights to pass through those increases to our clients. Now of course, we're always aiming to mitigate specific menu items or food line items that are disproportionately showing signs of inflation. And we have that flexibility to do so with our network of clinical dieticians, working in concert with the food service directors at the facilities themselves as far as menu management. So we're able to mitigate that certainly from both an operational and a financial perspective. But to just bring it back to a higher level, CPI for all items in the quarter was 60 basis points, which was actually the same as what we saw in Q1. Food at home inflation specifically, it's really -- and you sort of called this out, A.J., but it's continued to bounce around month-to- month. It was down quarter-to-quarter. Q2 showed 20 basis points of inflation, which compared to 1% inflation that we saw in Q1 and 50 basis points of inflation that we saw in Q4. Interestingly, the month of April showed 40 basis points of deflation, but then May and June were both coming in at about 30 basis points of inflation, and that's for food at home. So certainly something we'll continue to monitor. We'll manage and mitigate those cost increases as well as we possibly can for the benefit of our clients at the facility level. And then ultimately, inasmuch as we are seeing cost increases, we've got the contractual rights to pass those increases through.
Operator: Your next question comes from the line of Tao Qiu from Macquarie.
Tao Qiu: The first question I want to ask about guidance. So for the first half, you achieved 6.6% revenue growth. And based on the 3Q revenue guidance, it seems that the momentum will continue north of 7% at the midpoint. Any reason you reiterated that mid-single-digit guidance, which is clearly below the current trend line? Any downside risk we should contemplate in our estimates?
Theodore Wahl: It's a great question, Tao. And our goal is to provide as accurate ranges as possible, given the variables, most notably the timing of new business adds, which can be fluid quarter-to-quarter, knowing there's always going to be a subset, I'll call it, of intra-quarter opportunities that could be either pushed out or pulled forward. You think about in the context of even Q3, the difference between starting an opportunity on September 1 as opposed to October 1 may be insignificant on a year-over-year basis but could be meaningful to a given quarter, depending on the size or scale of the new business opportunity, which is why we're reiterating that mid-single-digit guidance. Whereas with those brackets we're providing, the $455 million to $465 million, that's really sharing management's visibility and our thinking on what we expect in the specific quarter. I think to the heart of your question, we know where we're trending. There's no reason why we wouldn't expect to continue to trend in that direction. And I would just say, we're looking at -- we look at things in 12-month increments, not quarter-to-quarter. So we're for the moment sticking with the mid-single digits. But your point is well taken. We're certainly trending to the high digits and potentially beyond that.
Tao Qiu: Understood. And the second question is about Genesis and more broadly, your collection strategy. I think one of the reasons you cited for leveraging those receivables is better recovery expectation in a situation like this. So could you help us understand whether you expect any difference in the recovery through this process? And how does this process inform your future collection strategies that you guys have?
Theodore Wahl: Yes. I think from a collection strategy, we continue to focus on increasing payment frequency. You alluded to promissory notes, but utilize a proactively utilizing promissory notes because of the fact that they're [ memorializing ] indebtedness, they're interest-bearing and they come with guarantees, personal corporate. At times, we're even successful in gaining or garnering a security interest, which may be junior to a senior secured lender, but it still provides us a seat at that secured lender table. And then obviously, remaining disciplined in our decision-making is to tie that bonds, the entirety of the strategy. I think specific as Genesis, and I mentioned it as a response to A.J.'s question, it's just too early to tell, Tao, in terms of potential recoveries. It really -- Chapter 11 tend to vary case by case. We're hopeful and we're certainly going to leverage our position within the context of the process and as a key stakeholder, certainly a priority vendor. We expect to have a long-standing partnership with the client facilities on a go-forward basis post reorg. But at this stage, specific to recovery, it's just too early to comment or to really provide anything meaningful.
Tao Qiu: We'll await the update there. Just curious, lastly, on the macro front, I think, Ted, you mentioned a lot of the positive discussions coming out of the budget bill and the policies from Washington. Just curious, I think the states are setting health care budget for 2026 and beyond. We have seen some cuts or at least moderated growth going forward. I know that it's still early, but any particular geographies that worries you longer term?
Theodore Wahl: No. And we certainly keep tabs on the reporting that you do. And we have our own regulatory and reimbursement experts here, Tao, that on a weekly basis that are active and engaged in analyzing, assessing that. They're corroborating with customers, third-party experts, industry lobbyists. We're seeing the same things. I'd say, in sum, it's more of a moderation of some of the Medicaid growth. But at the end of the day, from our perspective, the injury fundamentals are continuing to gain strength. And I talk about and I alluded to the demographic tailwind that's now you see the tip of that spear working its way into the long-term and post-acute care system. But we still see the primary driver of that continued interplay between staffing availability and census is going to be the key to any facility's success because more than any other factor, labor availability is the key to occupancy growth and occupancy growth in any type of Medicare or Medicaid environment, we view as the key to consistent financial outcomes. And the most recent occupancy data continues to be very positive, external data sources as well as our own, 80%-plus trends across all geographies, urban, suburban, rural, facility types, long term, short stay, et cetera. So that's our -- that continues to be our view. And when you layer in our more constructive view of [ ABA ], especially the near-term provisions, coupled with what you highlighted, maybe a given state may see some pressure around the edges, but we're still seeing at the state level continued increases. So that's our view.
Operator: Your next question comes from the line of Andy Wittmann from Baird.
Andrew John Wittmann: I guess just kind of to build on the last question and the last answer there, the -- a lot of the offsets in the Beautiful Bill, we're looking at those states that expanded Medicaid coverage, I guess, way back in ObamaCare. And those are the states where, I guess, it looks like there's going to be a reduction in their ability to do the health care taxes and -- as a way to fund Medicaid. So Ted, I just thought maybe -- there's also, I think, an element of this where during COVID, there was an increase kind of a more incentive for more states to expand Medicaid that's going to get pulled back. Now the phase-in timing for all these things is not all immediate, but I just thought maybe given that this past, you could talk about the states where it was expanded specifically coming under a little different funding thing and how this may or could -- I know it's not today, but how does this affect -- how this could affect your customers?
Theodore Wahl: Well, look, I think we called out the big-ticket items that are going to have the near term, we believe, positive effect, the 10-year moratorium on minimum staffing; the industry exemption from provider tax reductions, Andy, which is notable -- highly notable, considering how other providers along the health care continuum were impacted; and the $50 billion investment in the rural markets, we think they are the three keystones in the near term that are going to promote further strength and stability. Some of the other provisions, a few that you alluded to, you really need to conduct full assessments and see what providers they may affect, whether the provision, even that's being affected, has even been implemented yet. So we have -- and I mentioned it or alluded to it with Tao, our regulatory and reimbursement experts for the One Big Beautiful Bill conducted a full assessment of the 21 Medicaid subchapters that are referenced in [ ABA ], analyze the potential impact on provider types, effective dates, phase-in period, even implementation guidance. They then took that work and independently corroborated it with our customers, with third-party industry experts, with lobbyists. That's really what informs our more constructive view on the legislation, specifically as it relates to the industry. That said, and really to the heart of your question, we recognize and appreciate that the political football of Medicare and Medicaid is always in play, and we're going to remain engaged and nimble so we can react appropriately if needed, as needed.
Andrew John Wittmann: Okay. That makes sense. And then I don't know, Matt, just a clarification here. I guess in your announcements with Genesis recently, you thought it was going to be a $0.62 charge, came in at $0.65 for the quarter. It sounds like the $0.04 that was mentioned then is still coming in 3Q. So a little bit higher here. Was that just an increase in the assessment of the Genesis? Or was there something else in there, different customer that affected here the quarter with coming in a little bit bigger charge than was initially expected?
Matthew J. McKee: Yes. Really, Andy, that was just tax rate related for Q2. And then just from a timing with respect to prepetition monies, there was a drag between second quarter and ultimately third quarter, which is why you'll see that modest estimated $0.04 per charge that will impact Q3.
Operator: Your next question comes from the line of Ryan Daniels from William Blair.
Matthew Mardula: This is Matthew Mardula on for Ryan Daniels. And I'm curious on how has the cross-selling of dining services into Environmental Services been? And can you provide maybe an update on your outlook for it in the second half? And just any insight into a long term would be great.
Matthew J. McKee: Yes. Matthew, as far as the segment breakdown, our new business pipeline is split fairly evenly between EVS and Dietary. And that's a good thing from our perspective because our general preference is still to initiate services with Environmental Services and then to view dining as a cross-sell opportunity. It allows us to have a front-row seat in the facility to really observe and make an expert assessment in their current dining operations such that the point in time when we determine it makes sense to then provide a proposal and initiate discussions about converting dining services, we can really come with that much of a better informed proposal and recommendation to really enhance the value proposition that we're providing for that particular client. So from a top line perspective, obviously, on a same-store basis, that dine-in contract typically has about a 2x impact on revenue. So we want to be able to continue to grow the pipeline of new business opportunities in EVS to be able to ultimately continue that cross- sell. But as we sit here, we're still barely 50% penetrated in providing dining services within the existing Environmental Services customer base. So the demand is unbelievably high. So plenty of opportunities for us to continue to pull through that dining cross-sell, but likewise, have an eye out towards the future and recognizing greenfield sales pipeline opportunities for EVS as well.
Matthew Mardula: Great. And then regarding the Educational segment, I know it is still a small percentage of revenue, but with school starting again, how are you viewing it for the second half of the year?
Matthew J. McKee: Yes. It's amazing. We've been at it for over 3 years now. And the ongoing returns have been remarkably positive. There are many similarities, as we've discussed previously between our core market and this still emerging market, in that they're both highly fragmented, largely in-sourced, and our value proposition very much resonates. So we talked about previously some of the seasonality that exists both operationally and from a sales perspective in the Education space. And we're coming to what is the end of what's generally considered the sales season right now for obvious reasons in anticipation of the upcoming academic year. And we've had some really nice wins and continue to put up some nice growth rates. So from a revenue perspective, it's still less than 5% of total company revenues, but certainly an opportunity that we remain committed to, moving forward. So positive early returns, strong commitment to the opportunity moving forward and really a nice complement to the 2025 growth strategy and perhaps something more meaningful beyond that.
Operator: And we have reached the end of our question-and-answer session. I will now turn the call back over to Ted Wahl for closing remarks.
Theodore Wahl: Okay. Great. Thank you, Rob. As we enter the second half of 2025, the company's underlying fundamentals are stronger than ever, our leadership and management team, our enhanced value proposition, our business model and the visibility we have into that model, our training and learning platforms, our KPIs and key business trends and our strong balance sheet. And with the industry at the beginning of a multi-decade demographic tailwind, we are incredibly well positioned to capitalize on the abundance of opportunities that lie ahead and deliver meaningful long-term shareholder value. So on behalf of Matt, Vikas and all of us at Healthcare Services Group, thank you, Rob, for hosting the call today, and thank you again to everyone for joining.
Operator: This concludes today's conference call. You may now disconnect.